Operator: Good afternoon, and welcome to YRC Worldwide’s Second Quarter 2020 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Eric Birge, Vice President of Investor Relations. Please go ahead.
Eric Birge: Thank you, operator, and good afternoon, everyone. Welcome to YRC Worldwide’s second quarter 2020 earnings conference call. Joining us on the call today are Darren Hawkins, Chief Executive Officer; and Jamie Pierson, Chief Financial Officer; and TJ O’Connor, Chief Operating Officer who will be available for our Q&A. During the call, we may make some forward-looking statements within the meaning of federal securities law. These forward-looking statements and all other statements that might be made on this call, which are not historical facts, are subject to uncertainty and a number of risks. And therefore, actual results may differ materially. The format of this call does not allow us to fully discuss all of these risks. For a full discussion of these risk factors that could cause the results to differ, please refer to this afternoon’s earnings release and our most recent SEC filings, including our Forms 10-K and 10-Q. These items are also available on our website at yrcw.com. Additionally, please see today’s release for a reconciliation of net income to adjusted EBITDA. In conjunction with today’s earnings release, we issued a presentation which may be referenced during the call. The presentation was filed in an 8-K, along with the earnings release and is available on our website. I’ll now turn the call over to Darren.
Darren Hawkins: Good afternoon, everyone, and thanks for joining our second quarter 2020 earnings conference call. I want to thank our 30,000 American families that make up the population of YRCW companies for approaching their essential work with safety and diligence to take great care of our customers, as every business we interact with and serve has had unprecedented challenges during this rollercoaster pandemic. On behalf of our YRCW families, and over 200,000 customers, we would like to start by thanking Congress and the administration for passing the CARES Act, which has provided liquidity to pandemic stricken companies like ours and tens of thousands of businesses that comprise our customer base. The CARES Act empowered the administration to provide critical support to companies that are the last line of America’s supply chain. After the quarter ended, we announced that we had closed on a $700 million loan with the U.S. Department of Treasury under the CARES Act. The first piece was the $300 million in tranche A, which the majority of was directed at deferred health, welfare and pension payments and added to our July liquidity, which we will report at the end of Q3. The second piece of this loan was the $400 million in tranche B. Tranche B is specifically targeted at reinvesting in the rolling stock and gives us the opportunity to refresh our fleet with the lightest and greatest that the OEMs have to offer today. Better fuel efficiency, lower maintenance, and the latest and safety technology, and let’s not forget better experience for our employees and service for our customers. Make no mistake, this volume of equipment and upgrade coming into our network will allow us to shift in the high gear. Moving forward, YRCW and our five powerful brands have over three years before any major debt maturity to complete our enterprise transformation, to focus on running the business and taking great care of our customers. It has been a long time since this Company has had this much runway in front of us, and we intend to capitalize on every single day. As I shared with you on the first quarter earnings call, we continue our transformation work toward a single enterprise. The collective power of technology migration to a single enterprise platform, increased network density to optimize line haul mileage, and a comprehensive plan for terminal asset utilization will result in a North American LTL industry leader designed to grow for the long term. This new day, at YRCW allows us to accelerate our transformation as we look to optimize and blend the very best service offerings by and among our five brands, so that the customer will have a variety of choices all under one company. On a current note, we see the pricing environment is stable and in the month of July, YRCW companies average plus or minus 3% on contract negotiations. I will now turn the call over to Jamie, who will share additional details about the quarter and plans we have in place for the future, after which I will provide closing comments.
Jamie Pierson: Thank you, Darren, and good afternoon, everyone. As usual, I will tick through the results in fairly short order and will end with a little more color and my thoughts on THC. [Ph] For the second quarter of 2020, YRC Worldwide reported revenue of $1.02 billion, down from $1.27 billion in 2019, and reported an operating loss of $4.6 million, which included a $6 million net gain on property disposals, compared to an operating income of $14.3 million in 2Q ‘19, which included a $6.2 million net gain on property disposals. As for adjusted EBITDA, we reported $37.9 million in the second quarter this year, down from the $67.3 million in 2Q ‘19. Over the last 12 months LTM adjusted EBITDA was $183.1 million, down from the $259.1 for the comparable period in 2019. For the second quarter of this year, our consolidated LTL tonnage per day was down 14.8% compared to last year’s comparable period. The decrease in tonnage was led by a 16% decrease in LTL shipments per day, which was offset by a 1.4% increase in weight per shipment. As for pricing, year-over-year, LTL revenue per hundredweight, including fuel surcharge was down 5.7%, and LTL revenue per hundredweight excluding fuel surcharge was down 2.6%. However, as I have shared last quarter, given the increase in weight per shipment, and better indicator for us right now is revenue per shipment ex-fuel. And to that end, year-over-year change in LTL revenue per shipment excluding fuel surcharge was only down 1.2%. On the tonnage side, trends for the quarter showed improvement each month during the second quarter, with April LTL tonnage being down 22.6%, May was down 14.5% and June was down 8.6%. And preliminarily, July was down about 4%. As for investment, back into the business during the quarter, we only spent $11.7 million on capital expenditures. If you’ll remember, because I know that you do, CapEx is one of the spend items that we can tell during the quarter to preserve and build liquidity. The good news is, we intend to fully utilize all $400 million of the Tranche B loan to start refreshing your fleet and clipping the associated coupon that should come with brand new tractors and trailers. On the balance sheet and capital structure side of the equation, Darren touched on the size and uses of the tranches in his opening remarks. But for a little more detail, I will tell you that the $300 million tranche A loan that is and will be utilized for working capital, deferred health, welfare and pension obligation as well as other deferred payment, yield in interest rate of LIBOR plus 350 basis points with the floor of 1%. Of which 150 basis points of this 350 is to be paid in cash, and the remaining 200 is to be paid in time or additional accrual of debt. And before you ask, to-date, we have drawn $245 million on this tranche. The $400 million tranche B loan that we use for the acquisition of tractors and trailers simply yields an interest rate of LIBOR plus 350 basis points with a floor of 1%. Both of these tranches are non-amortizing and mature on September 20, 2024, just over four years from now. In addition securing the CARES Act funding, we also amended our existing term loan whereby we extended the LTM adjusted EBITDA to the holiday until December 2021, at which time the new minimum LTM adjusted EBITDA covenant will just be $100 million. The covenant steps up to $150 million in 1Q ‘22, and is not back up to the original agreed upon $200 million until the second quarter of 2022. Long story short, we do not have a minimum LTM adjusted EBITDA covenant for the next five quarters. And it’s not back up to the original $200 million until the middle of 2022. However, the minimum required liquidity did increase as a result of the term loan amendment. It increased to $125 million until we reach $200 million in LTM adjusted EBITDA at which time the minimum liquidity covenant goes away. Finally and I think it’s important to highlight. We amended our ABL facility to extend its current maturity from June of next year, all the way out to January of 2024, giving us an incremental two and a half years of additional runway on this facility. All three of these financing actions provides us with an opportunity and runaway to focus on the operations of the business, execution of our enterprise transformation to one co, taking great care of our customers, and also has the added benefit of allowing us to significantly refresh our fleet. Turning to cash and ABL availability. Our total liquidity increased to just over $300 million, $303 million to be exact. Compare that to the $80 million at the end of 2019 and $118 million at the end of the first quarter. And I think you would agree that our liquidity preserving measures enacted in March of this year worked fairly well. As a result, the going concern mentioned in the first quarter 10-Q has been alleviated. Now, as always, I leave you with a few parting thoughts. One, even before closing the CARES Act loan, we had built our liquidity in the quarter at just a little over $300 million, which is the highest level in well over a decade. Two, the $700 million CARES Act loan further strengthens our short term liquidity position, lifts the shroud of the deferred health, welfare and pension payments, and allows us to accelerate the capital investment into our fleet. Three, please do not lose sight of what we accomplished on the term loan and ABL amendment. These amendments give us additional latitude and runway to focus on the business and the transformation thereof. Fourth, volumes have stabilized and have certainly recovered from April’s low point. They have continued to improve in May, June and preliminarily into the month of July. In the same vein, pricing on a revenue per shipment basis ex-fuel has remained fairly stable as the economy slowly but steadily opens back up. Obviously, no one knows where the economy and the industry is heading in the next 3, 6, 9, even 12 months. But, I can tell you with 100% certainty that the capacity crunch is real as we’re having difficulty recruiting drivers to keep up with the increase in volume. In closing, all I would say is that I agree with Darren. It is a new day at YRC worldwide. Contrary to many pundits’ thoughts or theories, we did it again and are thankful to all of those involved. Now, it is time to execute. I’ll turn the call back over to Darren for some additional closing comments.
Darren Hawkins: Thank you, Jamie. I want to close the call by acknowledging all of our employees, customers and partners, who reached out to me as we successfully closed the CARES Act loan with Treasury on July 7th. Hearing from our employees was rewarding as they shared with me their renewed commitment to our Company and our customers as we move forward. Hearing from so many of our customers filled me with gratitude for their belief in and partnership with YRCW and our 30,000 freight professionals who serve them. We’re indeed grateful for the opportunity provided to us, and we will honor that trust placed in YRCW with the commitment to serve America’s essential, domestic supply chain through this pandemic and beyond. And now, we would be glad to take any questions that you may have.
Operator: [Operator Instructions] Our first question is from Jack Atkins with Stephens. Please go ahead.
Jack Atkins: Hey, guys. Good afternoon.
Darren Hawkins: Hello, Jack.
Jack Atkins: Thanks for taking my question. Well, before we get started, I just wanted to say, congratulations here on everything you guys were able to accomplish in the core. I know, there were just a lot of distractions, you guys had your hands full and you really performed very well, all things considered. So, congratulations on getting all this done.
Darren Hawkins: Thank you, Jack. We’re very proud of our team.
Jack Atkins: You should be, you should be. So, I guess, let me just first off, ask you a question to make sure everyone is on the same page about the U.S. Treasury funding. You’ve drawn down, I think you said $245 million of the $300 million of Tranche A. Tranche B, have you drawn any of that? What’s sort of the timeline for when you expect to draw down there? Would you expect to fully utilize all $400 million this year?
Jamie Pierson: Yes. Jack, hey. It’s Jamie. From my perspective, we have not -- well, let me get back up and tell you that, particularly we’ve not drown anything from term B or tranche B yet. In terms of our expectations, since we disclosed literally less than 30 days ago, it’s going to take us probably the better part of four, maybe up to six quarters for all $400 million to work. You know as well as I do, once you put the order in place, they gin it up. And by the time that they roll it off, the factory floor would pay for it. That’s going to be easily 60 to 90 days from now. So, it’ll be a while before we take our first delivery. But once we do, we expect a roll with a certain amount of pace and intentionality to get as much in as quickly as we possibly can.
Jack Atkins: Okay. Got you. But, I know there’s been some speculation in the financial press about it. There is really -- I mean, that Tranche B is fully signed, sealed, there’s no way that the federal government can go back on that, correct?
Jamie Pierson: We don’t have that oversight piece, if that’s what you’re talking about, Jack. I mean, that’s exactly what the committee was formed to do. It’s not to rubber stamp, what treasury did. It’s to oversee what the treasury did. From our perspective, we are marching with the exact same pace that we did 30 days ago. And we don’t see any reason why we wouldn’t get that fully funded between now and when we need to exhaust all $400 million.
Jack Atkins: Okay. That’s great. And then, Jamie, I think as you sort of think about how you want to utilize that $400 million, you’ve got a fairly weak used equipment market right now. You mentioned sort of it may take some time to get new equipment from OEMs. What are your thoughts around maybe going into the used equipment market, buying some of this more lightly used, newer model equipment? Any thoughts around that? Would that be a potential catalyst for some of this stuff funding?
Jamie Pierson: Yes. Jack, we’re not leaving any stone unturned. I know that lightly used in an LTL environment is somewhat of an oxymoron. But, we’re going to stretch the dollars as far as we possibly can. We’ve identified some pockets of used equipment that we could think that would fit our specs. The challenge being is we want the latest and greatest safety equipment that comes with an OEM spec unit. And what we found is that some of the used market does not come with that, even stuff that is, one, two, even three years of age doesn’t come with the anti-collision avoidance technology that we’d like. It has the same maintenance protocol and the same fuel efficiency. But, we are going to be very judicious and very intentional about the units that we buy. We are not looking to cut corners when it comes to safety and we will be availing ourselves of every dollar that we can.
Jack Atkins: Okay. That’s great to hear. And I guess -- and I know this is probably a little more of a difficult question to answer. But, when you think about that $400 million, and how far will that go to close some of the sort of the capital whole that you’ve been needing to fill now for a number of years. You guys have sort of been behind a ball so to speak in terms of catching-up on your capital investment, how much of that gap, that funding gap over the years let $400 million close for you?
Jamie Pierson: Well, I’d say like, this is a once in a lifetime opportunity. Never in many years that I think coming back and being here seven months that we have $400 million, which to invest back into the backbone of this business. As for the gap, as well as we do, if we can be in a multiyear journey, this is what I would consider an adrenaline shot to the heart. That will get us pointed in the right directions in fairly short order.
Jack Atkins: Okay, yes, Darren. I’m sorry. Yes, go ahead.
Darren Hawkins: No, problem, Jack. I was just going to add that this equipment comes without the leasing headwind that we’ve seen in the past, but it gives us an opportunity not only to take advantage of the fuel miles per gallon and other pieces, but the uptime is a big part of that as well. And without the leasing headwind, the return on interjecting a new tractor into our network is significant. And as there’s very low execution risk because you’re replacing an older unit with a brand new unit that comes with the benefits of that. So, it’s a very nice return with this opportunity.
Jack Atkins: Okay. It makes sense. Let me ask one more question. I’ll turn it over to anyone else in queue. But, what’s been the customer response over the course of the last several weeks now that this news around the U.S. Treasury funding has been finalized? Do you feel like customers are coming back or maybe even committing more freight to you now that you have these liquidity issues resolved, any sort of thoughts around that? Because I mean I would think that if there were some customer concerns, those have got to be alleviated at this point.
Darren Hawkins: Jack, taking great care of the customer has always been our focus and you're familiar with my career as that's been a focus of my entire career. I can say this as being part of the YRCW team for a long period of time through many different assignments. Our customers are why we're here. They supported us through difficult negotiations with a variety of different challenges over the years. And our customers have always supported us, because they recognize the value of our 30,000 freight professionals across the North American supply chain. So you put all that together, we saw good, strong support from our customers during unprecedented times when they were experiencing hardships as well. Certainly, some of those that had to make decisions about the company based on noise that was in the marketplace, or an attempt to protect their overall supply chain, I would hope we would have the opportunity to revisit that with them, but over time our people make the difference. And when I sum it up, I think our over 200,000 customers continually choose to share market share with YRCW companies, because of the value we bring to the marketplace and also the diversity that we bring across all the geographies that we serve with our multi-speed carriers.
Operator: The next question is from Scott Group with Wolfe Research. Please go ahead.
Scott Group: Jamie, I wasn't really clear that the answer on the congressional oversight. Are we in a place where there's really nothing that they can do and this is your money, or is there still some potential restrictions based on whatever they may say or not in terms of the ability to tap that $400 million? I just wasn't clear with the answer, sorry.
Darren Hawkins: We went into the loan agreement with United States treasury on July 7th. Congress certainly empowered the treasury to administer the CARES Act. We watched the process closely, submitted our application, went through a very thorough diligence process with treasury. Anytime comments beyond that as far as normal government oversight or other pieces, that's a necessarily part of the process. But at this time we haven't been contacted by any groups or agencies. So really all we can comment on is what we've been involved in and that was a very thorough diligence process with treasury where we were able to present the facts of our business for them to make a disciplined decision.
Scott Group: And going forward as you guys progress towards, I guess, a one co. Where do you think -- any plans in terms of further terminal consolidation, anything in terms of headcount? And then are there any restrictions as part of the treasury loans, either on rationalizing terminals or reducing headcount?
Darren Hawkins: Scott, I'll open with that and then allow Jamie and TJ. We started the year with 351 facilities. We are currently at 335. As I have said publicly earlier on, I believe we will land at around 325 by the end of 2020. Naturally, much has changed since I said that. But overall from a demand standpoint, even though we may pull down facilities, we won't give up any geographic coverage that we provide right now. It'll be because we have multiple facilities and one service area, so that will continue on as planned. But we will always protect capacity for our customers in each of the markets we serve. Jamie, anything additional?
T. J. O'Connor: The demand is there with recalled employees from lay-off during the pandemic and we're hiring at many locations. So the outlook is very good from an employment standpoint and the demand is certainly strong.
Scott Group: And then just last question, maybe Jamie any thoughts on operating ratio. Do we get back to profitability in the third quarter and then any thoughts longer-term on where you'd like to see the operating ratio go as you sort of get through this one co process?
Jamie Pierson: From a CFO's perspective, this is probably the most difficult time in any of our careers to forecast what's going to happen with the virus, the economy, the impact on our industry and then certainly the impact on our company. So, won't give any guidance as to if and when what the OR will be. I will share with you that pumping $400 million into the fuel and the backbone of this business, getting tractors and trailers that come with full powertrain warranties relative to what we are currently running today will be an immediate positive impact to the bottom-line. And it's not just maintenance, it's not just increased fuel efficiency, it's not just the improvement in the safety performance. You guys are very well aware of the atomic products that have issued as of late. But there's also the improvement in morale of our employees getting into a brand new unit versus getting into one that has been ''likely use'', which is again an oxymoron in the space. But it's also less downtime and an improvement on our customer service. So, this is a once-in-a-lifetime opportunity that we are going to avail ourselves on an immediate basis and we will run as fast and as diligent as we can to invest those funds.
Scott Group: And my apologize one more just really quick one for you Jamie. Any of the health and welfare whatever other costs, you didn't actually pay in the second quarter. Did you still accrue those costs, are they showing up in the operating ratio?
Jamie Pierson: Yes, we did.
Operator: [Operator Instructions] The next question is from Jeff Kauffman with Loop Capital Markets. Please go ahead.
Jeff Kauffman: Again, that was a rough go. So, I want to come back to Scott's question on OR and CapEx. So, I'll start with CapEx, $400 million. Have you thought about how -- well, of course you thought about it. But how are you thinking to split that between tractors, trailers? How many tractors can we buy at that level? And what percentage of the fleet are we thinking about replacing at this point?
Jamie Pierson: So the answer is it depends. It depends on two things, primarily one, the depth and the breadth of the use market. We talked about when we're trying to address Jack's questions on the used units, so that's the first thing. We can find a deeper market that fits their spec, we'll be able to get more if not, they will go off to the OEM and buy brand new units. It also depends on the taxes. If they're going to, in some semblance, do away with the tax aspect of those new units, I think you could save with upward of $12,000 plus or minus. So that obviously will go a long way when you take it across $400 million. Now in terms of the composition of tractors and trailers, what we're trying to do Jack is actually go after the oldest units and call it the tale of both fleet, the tail of the tractor fleet and the tail of the trailer fleet. And we're going after those oldest units that have the highest maintenance cost per mile. So, we're going to go after that in a fairly equal weighted basis. We can put all the money on tractors if we wanted to but that would not do anything to change the age and the complexion of our trailer fleet. We're going to go at it on an equal basis and the amount that we’ll go after will depend on the depth of the use market and what happens with the taxes?
Jeff Kauffman: Approximately what is your maintenance cost per mile on the existing fleet, I got a pretty good idea what it runs on new equipment, but I'm just kind of trying to figure out how much we might be able to bring down maintenance cost?
Jamie Pierson: Well, I won’t give it to you on a per mile basis, I'll tell you when you buy a brand new unit, it rolls off in line maintenance expense for a one year unit it's somewhere in the $1,000 to $2,000 range, obviously, full powertrain warranty and you might ask why $1,000 to $2,000, or you've got a few -- I mean, you've got brakes, you've got antifreeze, you've got oil, you got everything that goes with like the daily maintenance of that unit. And then you go out to 5, 6, 7, 8, 9, 10 years, you're getting into a number that is probably closer to $11,000 to $12,000. So, we could easily clip a 10,000 maybe little bit more coupon per tractor on maintenance expense alone and does nothing to take in consideration what we can get on miles per gallon and fuel efficiency. And the big unknown and I'm going to apologize in advance, just a big unknown is what it does for us on a safety basis, because we don't know the cost of an accident that does not occur.
Jeff Kauffman: Let me just ask a question to Darren and T.J., and then I'll move on here. Darren, when we were talking about a year or so ago and you just negotiated the new labor plan. Back to Scott's question on OR, you were thinking in the long term, hopefully, we get down to a 95. And take it from there and you had a series of steps that you were going to be implementing and things you were going to do. As we sit today, how has that changed and kind of what are the big levers separate from the capital spending that we can do to get the OR to where you want it to be, and even though maybe COVID’s push things out and the recession’s push things out. Is your belief that in the long run, this is a company that's capable of 95 still?
Darren Hawkins: Well, certainly with the changes we show from the invisible enemy this year, any type of guidance went out the window for the majority of publicly traded companies. What I will say is we've got a labor contract that runs through 2024, the CARES Act alone runs through 2024. The ABL and the term loan go through 2024. So there's a runway there that's real and tangible. Part of when I was talking last year about the trajectory of our company, a big part of that was the equipment plan as it always is in a heavy asset based company was 60,000 pieces of equipment. That equipment plan is crucial. It's certainly been assisted by this process that we've gone through, but also that's what protects the overall investment that a variety of constituents have made in this company. And so the equipment plan is solid, it will return good return on investment we know that. And that's when I said there's very low execution risk. Outside of that, the network optimization plan. Certainly, we had to pause for six to eight weeks at the beginning of the pandemic. And as we sat down as a team and determined how we were going to address something that America had never seen before, the world had never seen before to this magnitude and this modern of a time. So as we made those lists and determined what to do, network optimization stayed at the top of the list, just because it allows us to pivot depending on where the economy goes, how deep the valley would become or how quickly we would recover from it that we could adjust to all of those pieces, because of the flexibility we have with these four asset-based brands and our one non-asset based brand. So all those things are still intact. The plan for HNRY Logistics, naturally, this event has created demand in the residential area where HNRY plays very well. It's also allowed us to streamline parts of our line haul operation. You put all that together and I think the company has a solid opportunity over this runway of time between now and 2024 to be a very solid member of the national supply chain.
Operator: The next question is a follow-up from Jack Atkins with Stephens. Please go ahead.
Jack Atkins: And I just had a couple of follow-up questions here, but I guess kind of going back to, Jamie, your comments around what this new equipment can do for you from a cost perspective. And you think about that on top of the enterprise transformation initiatives that you guys are working on now for a little while. When you think about benchmarking your costs per shipment relative to your publicly traded peers, excluding salaries and wages. Do you feel like that these efforts, this ability to refresh the fleet combined with the efforts that you're doing to rationalize your broader network, does that close the majority of the gaps in terms of your cost per shipment? Is there just -- that's what we're trying to understand? Any way to help us think about that?
Jamie Pierson: Yes, I would say it does two things for us and I'll answer your question very directly, Jack. We'll start to close the gap. Will it ever completely close the gap? No. You know it won't, everyone on this call knows that it won’t. We are one of the largest carriers in United States and we're proud to have those fine folks as our partners as we work through this journey. What it does do for us is two things; one, all the things Darren talked about on the maintenance, fuel efficiency and safety. But the one thing that Darren touched on a little bit earlier don't lose sight of the fact that it's also going to help us with the leasing headwind that we actually experienced today. My estimation, Jack, is relative to our peers and they don't always publicly disclose it, so it's hard, I’m shooting in the dark a little bit is that we're probably facing a 300 basis point margin headwind on the leasing expense alone relative to the person in the left side of the aisle and the right side of the aisle. So, you can do the math on saving that $11,000 per unit most by that times, how many units you think that we'll be able to get to this $400 million on a tractor basis and then do our best to minimize the leasing headwind going forward that will give you some semblance of the gap that we can close.
Darren Hawkins: And Jack, as a reminder on our contractual side with the labor contract going through 2024 and that we've got new job classifications as part of this labor contract, it's something we haven't talked about in a while, because many other things have gotten in the way of just the normal operating discussion. But we've got the flexibility now around purchase transportation, also the flexibility around job classification that helps align us with what our customers need us to do on a daily basis.
Jack Atkins: And then, Jamie, just kind of going back to the OR discussion for a moment and I know you don't want to give guidance, I'm not going to ask to give guidance. But can you help us think through maybe some of the puts and takes of some costs that maybe weren't in the second quarter? And I know a lot of transportation companies maybe saw some unexpected expense tailwinds from fuel, from healthcare, from a whole host of different items. Were there some costs that maybe weren't in the second quarter and maybe come back in to the third quarter, just trying to get a feel for if we can all make our assumptions around revenue trends sequentially. Anything that would be different on the cost side when we think about incrementals or decremental sequentially?
Jamie Pierson: You know, Jack, not a lot. And I think Scott asked the question in terms of deferrals that we had experienced. Did we expense those? And the answer is yes. The cost that would come back in a third relative to the second would just be some of the folks that we had furloughed when we started making our liquidity preserving levers and pulling those levers. So, it's things around the fringes. I don't think it's anything would be down the level of materiality that you would be looking for.
Jack Atkins: But that would all flow with shipment and tonnage, so that would all make sense. Okay, I was just looking for any unusual items. So last question, maybe for T.J., if you could just sort of talk about potential purchase transportation inflation given what we're seeing in the truckload market. Any sort of thoughts around that line, maybe creeping up on you a little bit faster than expected, just given where we're seeing truckload rates move in the market?
T. J. O'Connor: Jack, I would say that the majority of our purchase transportation dollars move under contract that we have locked-in prior to the pandemic in the current circumstance. The transactional stuff I expect to go up and it has slightly, but the vast majority of our purchase trans, which I remind you is up to 29% under the new contract is under contract.
Operator: This concludes our earnings call. I would like to turn the conference back over to Darren Hawkins for any closing remarks.
Darren Hawkins: Thank you, operator. Thanks again to everyone for joining us today. Please contact Eric with any additional questions that you may have. This concludes our call. And operator, I'm turning it back to you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.